Operator: Ladies and gentlemen, thank you for standing by. Welcome to the CPSI Fourth Quarter and Year End 2015 Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we’ll conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded at Thursday, January 28, 2016. I’d now like to turn the conference over to Boyd Douglas, President and Chief Executive Officer of Computer Programs and Systems. Please go ahead.
Boyd Douglas: Thank you, Ashton. Good afternoon, everyone, and thank you for joining us. During this conference call, we may make statements regarding future operating plans, expectations and performance that constitute forward-looking statements made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. We caution you that any such forward-looking statements only reflect management expectations and predictions based upon currently available information and are not guarantees of future results or performance. Actual results might differ materially from those expressed or implied by such forward-looking statements, as a result of known and unknown risk, uncertainties and other factors, including those described in our public releases and reports filed with the Securities and Exchange Commission, including but not limited to, our most recent Annual Report on Form 10-K. We also caution investors that the forward-looking information provided in this call represents our outlook only as of this date, and we undertake no obligation to update or revise any forward-looking statements to reflect events or developments after the date of this call. As many of you may recall, in conjunction with the announcement of our Healthland acquisition, we also announced changes in additions to our executive team at CPSI. As a result, we have increased the number of CPSI executives, who will be participating in our calls from this point forward. David Dye has been a participant in these calls for a number of years, but he’s transitioned from his prior position as Chief Financial Officer to a new role we have established in our organization, which is Chief Growth Officer. His focus and therefore his comments on our calls will be directed towards sales and revenue growth opportunities. Matt Chambless has been promoted to Chief Financial Officer and will be providing commentary on financial matters. In addition to his role as President of TruBridge, Chris Fowler has also assumed the role of Chief Operating Officer for CPSI. His comments will cover corporate operations with the particular emphasis for the time being of the progress of the integration of Healthland, American HealthTech and Rycan into our company. That’s the conclusion of our prepared comments, we’ll all be available to take any questions you may have. As we announced in our press release on January 8, our acquisition of Healthland and its subsidiaries, American HealthTech and Rycan is now complete. While we are conducting some level of integration planning prior to the closing of the transaction, our activities were limited to some degree due to regulatory requirements. With that barrier now removed, we are now fully immersed in the integration effort. We are still early in the process but have some encouraging news already. But first, we are much more similar as companies in our culture, our approaches and our thinking, than we are different, which in and of itself makes the job that much easier. That allows us to focus on more productive activities without having to waste time, tackling philosophical difference between our organizations. Second, it goes without saying we were very confident that the value the acquisition to CPSI justified our investment. I’m please to tell you that as we’ve gotten deeper into the evaluation of the solutions, services and client bases through our integration work, the substantial value each company provides to us is even more apparent. We are committed to maximizing the value of all of our assets where significant ongoing investment, including the centric EHR. Our mix in centric specifically because it has a loyal cloud base that has put a good deal of capital on effort into the implementation of the centric EHR. Without getting too much into David’s area, the centric base offers straight potential for the services we currently offer from our other companies and for new application solutions that overlaid both of our key EHR platforms. It only makes sense that we would continue to invest extensively in centric to maintain the satisfactions of those hospitals. Before I turn the call over to Matt, I do want to take just a minute to tell you how extremely positive we are about 2016 and beyond and why that is. CPSI is the only vendor that provides integrated solutions across the continuum of care. Our ability to address all three primary care settings, ambulatory, inpatient, and post-acute care with our systems and services enables us to better meet today’s needs of community healthcare organizations than any other vendor. And just as importantly for the future, because we can now readily aggregate patient and clinical data across all those settings, we’re orderly positioned to provide the analytics, patient engagement, and population of health tools that will be an absolute necessity in a value-based reimbursement world. We are already invested heavily in those areas, and will continue to do so. There’s no doubt that the future is bright for our organization and for our clients. With that I’m going to turn it over to Matt, for his commentary on our financial results, and then Chris and David will get into more detail around the growth opportunities we see ahead of us, along with the integration process.
Matt Chambless: Thanks, Boyd, and good afternoon everyone. In the fourth quarter, we installed the Thrive Financial and Patient Accounting Systems in four hospitals. Three of which were installed in cloud environment. We installed our core clinical departmental applications at four facilities, four hospitals implemented Thrive point-of-care, six installed our Thrive Emergency Department Information System, and eight customers went live with physician applications. Thrive Provider EHR was installed in 14 facilities. At this time, we expect to install Thrive Financial and Patient Accounting Systems in seven new client facilities in the first quarter of 2016, one of which will be installed on a subscription basis with revenue recognition pattern similar to our cloud EHR arrangement. We anticipate five installations of our core clinical departmental applications, five installations of Thrive point-of-care, eight installations of our Thrive Emergency Department Information System, and four installations of physician applications. Thrive Provider EHR is expected to be installed in nine facilities. And on the Healthland front, we’re currently slated for one net new install in the first quarter of 2016 and three migrations from classic to centric. Our employee headcount as of December 31 was 1,471, an increase of 49, that’s totally attributable to the personnel investment in current and future TruBridge growth. System sales revenues were relatively flat sequentially, were down 31% versus the fourth quarter of 2014. As we continue to confront the challenges of the nearly fully penetrated market for new system installations and customers lack motivation for significant add-ons, were stage two MU behind us, and stage three yet to materialize. A further drag on the systems sales has been the continuing trend toward SaaS, cloud or other non-perpetual license arrangements, which made up all but one of the four new system installations during the fourth quarter of 2015, and eight of the 16 new system installations for year-to-date 2015. Comparatively, these non-perpetual license arrangements made up only two of the 24 new system installations in all of 2014. On the cost side of systems sales, we saw slight margin improvement over the third quarter of 2015, is travel costs decrease. Although travel costs were similarly down versus the fourth quarter of 2014 and year-to-date 2014 and we’ve taken measures to manage headcount, we still saw a significant margin compression against those periods. Support and maintenance revenues are up slightly versus all comparable period as expected. Aforementioned trend towards SaaS or Cloud EHR arrangements resulted in growth in the related revenues of approximately $400,000 or 24% of year-to-date 2014 tools, a trend that we expect to continue going forward. On the cost side, support and maintenance is benefited from our efforts to manage headcount resulting in improved margins versus outcomes. TruBridge revenues saw a modest drop sequentially, mostly due to volatility increase introduced by our risk sharing arrangements, but few of the customers in our accounts receivable management services as well as expected declines in billing for ICD-10 related consulting projects is the compliance deadline is behind us. Despite the sequential decline, TruBridge posted 10% growth versus the fourth quarter of 2014 and 14% growth over year-to-date 2014 with accounts receivable management and coding services leading the charge. TruBridge costs remain relatively steady from the third quarter resulting in slight margin compression due to aforementioned revenue decrease. Headcount increasing during the trailing 12 months have driven TruBridge costs higher versus the fourth quarter of 2014 resulting in margin compression. These headcount increases have been in response to both current and anticipated demand which had cost, an increase in our temporary labor cost that should now ratchet down in future periods. These payroll costs were somewhat muted in our year-to-date numbers, so year-to-date saw a slight margin improvement. Our sales and marketing costs are mostly driven by commissions on system sales revenues, resulting relatively flat sequential movement of large decreases versus Q4 of last year and year-to-date last year. General and administrative expenses appeared relatively flat sequentially is the $3 million in Healthland transaction cost that we incurred during the fourth quarter of 2015, were largely offset by $2 million decrease in severance cost, as our voluntary severance program was completed as of September, 30, which also saw $900,000 decrease in bad debt expense as we had a couple of unusually severe write-offs during the third quarter of 2015. A $3 million in Healthland transaction costs were the key driver in the increase over the fourth quarter of 2014. On a year-to-date basis, the merely $7 million increase was mostly due to the $3 million in Healthland transaction cost incurred during the fourth quarter of 2015. The $2 million of severance cost during the third quarter 2015, and a $1.8 million annual increase in health insurance costs as health claims continue to arise behind increased volumes and severity. As mentioned on previous calls, we’ve implemented changes to our health insurance plans for 2016. That should help us contain costs including a spousal carve-out in increased employee premiums. On the tax front, our effective tax rate increased to 27.4% from 19.5% in the third quarter, as the third quarter benefited from provision-to-return adjustments and adjustments for uncertain tax positions to $629,000 with no such benefit in the fourth quarter. From year-to-date perspective, the big drop in our effective tax rate to 28% from 33.8% is mostly driven by $1.2 million of beneficial adjustments related to previous reserves for uncertain tax positions. For 2016, we anticipate our effective tax rate to be between 34% and 35%, absented our impact of any discrete items or transaction related adjustments. While the numbers we’ve been describing so far reflect historical performance, the recent acquisition of Healthland represents a major shakeup in the future composition of our financial statements and ongoing capital structure. Since year end and as a result of the transaction, the company’s incurred $130 million of debt to finance the transaction. Issued nearly two million shares of common stock and added approximately 490 employees to the CPSI family. Such big changes, it force us to rethink how management views the business and assesses ongoing performance, resulting in the changing guidance metrics that you now saw on the earnings release. The revenue guidance of $307 million to $322 million includes anticipated organic growth within Evident and TruBridge along with the revenue contributions from Healthland, AHT and Rycan. The adjusted EBITDA guidance of $86 million to $91 million and non-GAAP EPS guidance of $3.47 to $3.64 per share are inclusion of the anticipated synergies in excess of $10 million and overall adjusted EBITDA contribution from the acquisition in excess of $30 million. It’s worth noting that our projection for adjusted EBITDA includes anticipated benefits from the utilization of net operating losses acquired in the Healthland acquisition, whereas our projection for non-GAAP EPS does not include any anticipated NOL benefit. The rational behind including the NOL’s in adjusted EBITDA and excluding the NOL’s from non-GAAP EPS is, is to the adjusted EPS reflect more of a cash gain or loss for the period, while non-GAAP EPS will reflect more of the continuing operations of the business, stripping out the non-recurring long-term impact of the acquisition. Lastly, beginning with our first quarter 2000 earnings release, we will be including a quarterly bookings number in our earning releases that will cover the entire entity. And with that I’ll now turn things over to Chris Fowler, our Chief Operating Officer to discuss where we are with the Healthland integration.
Chris Fowler: Thanks, Matt. We are progressing nicely from an integration standpoint. The planning prior to acquisition is staying off in early stages and we are working aggressively to move beyond integration and into business as usual. I’d like to spend a few – the next few moments discussing some note worthy points in some of our business units as we progress through the integration. One of the main goals of our integration project is customer retention. In order to protect the Healthland customer EHR investments, we made some modifications to our original synergy plans with a focus on ensuring protection of the development staff allocated to both centric and classic. We remain committed to delivering both base two of notes as well a new lab order manager application to the centric platform later this year and they’re also beginning to evaluate share platform development opportunities for both Evident and Healthland customers such as analytics, interoperability and a pharmacist focused environment. We are aggressively working towards essential finance and Human Resources Department along with marketing and IT. We anticipate this being completed by the end of the second quarter. From the support and implementation standpoint, we’re finding benefits that can be applied to all business units. Our Evident client service teams are working with their counterparts to deliver our LikeMind support model to the Healthland customer base beginning in the second half of the year. There is also a great excitement about the learning management system currently being used by Healthland. This will allow Evident customers an opportunity to stay more engaged with system updates and be trained on best practices. Beyond the integration of the two acute care EHR platforms, we are also working with Rycan and American HealthTech to continue the efforts started by Healthland in the previous years. In our early evaluations there is additional functionality and technology in Rycan suite of offerings that will bring new opportunities and enhance current services being offered by TruBridge. Two solutions we are particularly optimistic about, our patient liability estimates [indiscernible] management. As the payer reimbursement model continues to shift towards high deductible plans and value-based reimbursement, these solutions will be crucial in delivering high quality revenue cycle management solutions. David and I were in Jackson yesterday with the sales team from American HealthTech and we are optimistic on the early return from that particular customer base regarding the acquisition. There is obviously cross over in these customer bases and the ability to bring interoperability between the two platforms will be a huge win them. Lastly, we are aggressively evaluating the revenue synergies and are actively working with the sales groups from all business units to make sure we are not only identifying all cross sell opportunities but more importantly enabling our sales team to deliver products and services that points to our corporate strategy of advancing community healthcare. With that I’ll turn it over to David to talk about our sales efforts.
David Dye: Thanks, Chris and good afternoon everyone. As you might imagine the last few months have been a whirlwind of activity for most of us in CPSI. But since the closing of the Healthland transaction on January 8, my focus along with that of the Healthland, Evident and TruBridge sales management teams has been centered on the growth prospects presented by the significant cross selling opportunities available within and between our newly merged products and services. Chris mentioned earlier that he and I met this week in Jackson Mississippi with the AHT sales team along with Chris Bauleke, Healthland CEO and the Healthland sales and marketing leadership. The focus of the meetings was to determine the best approach and strategy to market TruBridge’s revenue cycle management solutions along side Rycan, [indiscernible] claims management products to the 3,000 plus post-acute care clients of AHT. We believe the potential to provide TruBridge’s revenue cycle management solutions to the post-acute care market is significant, primarily due to lack of competitors with a nationwide presence, and increasing in e-commerce and billing rules and regulations. In addition, we are beginning to collaborate on the sale of the AHT clinical and financial software solutions to nursing homes that are owned or managed by hospitals that are running the Thrive or centric acute care EHR products. Two weeks ago, the Healthland, TruBridge and Evident sales leadership teams met to begin the collaboration efforts around the sales opportunities within our combined acute care customer base. Those conversations focused on three primary objectives. First, upgrading the existing Healthland acute care classic customers to either centric or Thrive. Although the classic product is still supported and will be for a minimum of two years from any potential sunset announcement, classic will not be stage three certified. And as such the approximately 25 Healthland classic acute care hospital customers they wish to continue to participate in the MU program, will need to upgrade either centric or Thrive solutions. Second, as Chris discussed earlier, we believe there is significant opportunity to sell Rycan’s best of bread claims management solutions to TruBridge’s 600 plus acute care hospital customers, particularly in the area of liability estimates in denial management. And third is the substantial potential to penetrate the Healthland classic and centric EHR customer base, with the TruBridge suite of revenue cycle management consulting, and IT managed services solutions. The takeaway from these two meetings has been the immediate empowerment of our collective sales organizations to collaborate on these cross-sell opportunities and we have seen immediate results. We believe that we will begin realizing measurable financial benefit from the results of these converted efforts in the second half of 2016. Before turning the call over to questions, I would like to speak about the improved sales environment and our corresponding improved results with new hospital customer Thrive contracts in the most recent two quarters. In the fourth quarter, we signed eight new client Thrive contracts, giving us 15 Thrive EHR contracts in the second half of 2016. We currently have 13 hospitals slotted for Thrive implementations in 2016, which compares the four that were on the schedule to be installed in 2015 at this point a year ago. Based on the current pipeline of hospital prospects in the under 75 bed market, we expect this positive trend to continue. And finally, we continue to be extremely pleased with the efforts of our Evident sales team in Canada. As we mentioned previously, we believe the Canadian EHR market is about five years behind the United States. And there will be significant replacement of incumbent vendors, especially in the smaller facilities, as these hospitals look to implement advance clinical functionality, such as CPOE and physician documentation, as they migrate to integrated IT solutions in the near future. And Ashton, if you could now please open the call for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Mohan Naidu from Oppenheimer. Please proceed.
Mohan Naidu: Thanks for taking my questions, David. David maybe I will start with you, one question around your new contract strength that you are seeing. Could you remind us like what is driving the new resurgence in the new contracts? Number two, are these clients already certified in stage one or stage two, and they’re coming back, looking at stage three or stage two in particular?
David Dye: Yes. Good afternoon, Mohan. I think that the driver is, now that we’re for a hospital which pursued stage two. And answer to the second part of your question, I would say that the vast majority have been stage two certified, certainly not all, but the vast majority, is that now that we are coming up on at least two years of utilization from their medical staff of CPOE and physician documentation and a full use of an EHR. For those vendors that are – have a smaller number of facilities and perhaps struggling with the integration in the functionality that with the physician dissatisfaction, but that’s driving the sales process for them to look at one of the more established vendors, such as Evident. So, I would say that’s the primary driver. I think secondarily to that is a look forward to stage three and concerned that the current vendor either won’t be stage third – either will not be stage three certified or it will struggle to be stage three certified, I would say, that would be the number two reason, that we’ve seen in the resurgence.
Mohan Naidu: All right. And maybe a second question around the classic, you said 25 Healthland classic customers need to upgrade to centric or Thrive to get to stage three.
David Dye: Yes.
Mohan Naidu: I thought there were more than 25 customers on classic.
David Dye: Yes, there are but that’s – yes, we’re being conservative. That’s the number that are stage two certified that we believe, will – wanted to achieve a solution for stage three. There are – as we’ve discussed on the last call, there are – there were approximately 70 or so, the classic customers that are our long-term acute-care clients that are not participating in the Meaningful Use program.
Mohan Naidu: All right, all right. Maybe one quick question for Matt. Matt historically you guys provided backlog number. Can you provide that for CPSI? And also maybe an equivalent number for Healthland if possible?
Matt Chambless: Yes. As we mentioned in the prepared comments, we’re going to – beginning in the first quarter of 2016 will begin, providing a backlog number for the – bookings number for the entire entity. The fact just as we closed on this 20 days ago and so, until we can get our arms around the process for determined backlog at Healthland. We’re naturally hesitant to give that number.
Mohan Naidu: Fair enough. Thank you very much for taking my questions.
David Dye: Thanks, Mohan.
Mohan Naidu: Okay.
Operator: And the next question comes from the line of Jeff Garro with William Blair. Please proceed.
Jeff Garro: Yes, good afternoon guys and thanks for taking my question. I want to ask about 2016 guidance and you just looking back, you guys have fallen a little bit short of the guidance for the last two years in the 2016 outlook. It has a spec around system sales are results being lower in the last year, I know the pipeline is looking better, but also some acquisition integration, given the first transaction for the company. So I want to see what gives you guys, yes, more confidence in the outlook for this year than what we’ve seen in the last two years. And any more details on what’s driving visibility into the 2016 forecast?
David Dye: I think the first part of that answer is what I said in my prepared comments is that we’ve got 13 hospitals on the install schedule for new install in 2016, which compares to four at the same point last year and that doesn’t include the four centric installs that are happening in the first quarter. In addition to that, the number of active prospects that are in the pipeline, obviously, we feel good about our position comparatively especially at the smaller end of the – as I mentioned under 75 bed space. There are just simply aren’t many vendors focused on this. There were year ago a lot of the ones that sort of popped up because of MU at least gone. I said that they may still be supporting their customers but they’re not actively seeking new ones. There are some others that have moved upstream to focus on the larger hospitals. Certainly as we talk about on previous calls we got Cerner, this come downstream more so than ever before and Cerner was active, but the number of total overall competitors is significantly less than it was a year ago. I would say you that’s the primary reason and then – of course we’ve got – we got a lot of confidence around TruBridge. There’s still a significant amount of greenfield opportunity there, obviously, the acquisition gives us even more.
Jeff Garro: Great, that’s very helpful. Maybe if I could – give us a little more commentary on the expense side of things, the guidance is implying a pretty strong rebound in adjusted EBITDA margins, and I realize there. Both lots of pieces because that you’ve already had some expense, because in Q3 you have some cost synergies, you’ve identified going forward. If you could provide any more detail on kind of how we get to 28% adjusted EBITDA margin. How much is already been accomplished from those Q3 costs? How much is from future synergies? And how much is simply from adding Healthland to the mix and maybe that having an incremental benefit to the profit structure?
David Dye: Well. Yes, as we said previously, I remember it was with the announcement of the Healthland transaction of the last quarterly call, but we anticipated entering 2016 between the severance adjustments, the headcount decrease, the changes in our insurance, health insurance policies. And just the other cost cutting measures with a go forward $6 million run rate, lower cost structure, just on the CPSI side alone. And then on the Healthland announcement call, we detailed that we expected more than $10 million, an excess of $10 million in cost synergies along with that transaction and now that we’ve gotten a deep into that that’s a number that we’re now 100% confident in exceeding. So those are the primary reasons for the confidence there on the expense side.
Jeff Garro: Great. Thanks for taking the questions guys.
David Dye: Thanks, Jeff.
Operator: Your next question comes from the line of Jamie Stockton with Wells Fargo. Please proceed.
Jamie Stockton: Hi, yes, guys, thanks for taking my questions. I guess maybe to begin with the revenue that you’re going to incrementally get from the acquisition. Can you give us some sense of how that is going to breakdown or how you think at this point it might breakdown between the three revenue categories that you’re – that you’re reporting. And maybe any feel for whether there’s a material difference in kind of the gross margin profile just so we have some guiding process as we’re trying to model this?
David Dye: Yes, I mean as far as the contribution, the revenue contribution from Evident system sales, and we’re projecting a slight increase there, I can give you kind of where we’re shooting there, it’s kind of in the low-50%s on the revenue number there. Evident supports going to come in, a little bit south of 80%. TruBridge is going to come in, a little bit south of – a little bit north of 70%. And then Healthland consolidate is going to come in pretty much in line with what we had previously announced, when we announced the deal back in late November. So, it’s kind of the revenue shakeup there. On the gross margin front, yes, we will see some margin improvement in system sales, just due to combine factors. The revenue increasing with a kind of fixed cost structure after these headcount management measures, it’s also going to slightly benefit our support in maintenance margins, and then in TruBridge margin should remain kind of steady where they have been historically.
Jamie Stockton: Okay. Matt, if you guys plan on just essentially keeping the acquired businesses in a separate revenue segment that you’re going report distinct from, coming from kind of system sales support maintenance in TruBridge?
Matt Chambless: No, I mean I guess when we start thinking about in the future, now we’re going to report that it’s – the further we get from the closing date of the transaction, the harder it is to really distinguish between the activity of the two organizations that existed before close. So going forward, the further we get away from close, the more – the less meaningful – I think showing separate numbers for those entities are, but just refer this is a forecasting for 2016 as we approach that too.
Jamie Stockton: Okay, that’s great. I don’t think that any more financial questions, I guess maybe, and I think maybe Mohan Naidu kind of touched on this in the beginning, but originally my perception was that 2016, you guys thought would be a year or maybe it was little – a little slower in the first half of the year, but then things would start to pick up in the second half. From David’s comments it sounds like the year starting off a lot faster than maybe you would have thought, three or six months ago. Do we think that there’s still going to be an incremental pickup in the second half of the year? Maybe as an add-on to that, as any of this noise around the end of Meaningful Use had any impact on the conversations that you were guys are having, and I’ll leave it there, thanks.
Boyd Douglas: Jay, this is Boyd. I still think we’ll see somewhat of a pickup in the second half, I answered the first part of your question. But I do think it would be somewhat needed by this noise around the MU 3, all of that seems to be quiet and down maybe a little bit now. So I think we’ll have somewhat of an impact. On the flip side the good news is as you pointed out, certainly we’re starting off a whole lot faster than we anticipated. Some of that just depend on demand and we’ve gotten out for the last several quarters about the pipeline and the number of prospects and suspects picking up and clearly that’s coming to provision now and resulting in some signing contracts. So, can’t say we didn’t see that coming, but obviously that’s a surprise on the good side. So to sum it up, yes, I think we’ll see some back half pickup because of MU 3, but might be somewhat needed because of the noise surrounding it. The other thing – start this– starting this year the pick up been a little bit quicker than we anticipated. One, I think it’s the demand that I just talked about, but two, there’s a lot of excitement about the transaction. And you know we’re already seeing some benefit from that, from some of our existing customer base as well as prospects, they are really excited about the opportunities and they are probably even faster than we anticipated. So we think that’s another factor, but 2016 starting off better than we originally anticipated, say, six months ago.
Jamie Stockton: All right. That’s great, thank you.
Boyd Douglas: Sure.
Operator: The next question comes from the line of David Larsen with Leerink Partners. Please proceed.
David Larsen: Hi, can you talk a little bit more about the cross selling opportunity basically with TruBridge into the Healthland base or any potential sales of like Thrive platform into the Healthland base and vise versa. Thanks.
Chris Fowler: So I think we talked about this on the announcement call. This is Chris and good afternoon, David. So we were excited about the opportunity for our TruBridge into the Healthland base, most like we were with TruBridge into Evident. And the fact that we develop that relationship and the trust based on the delivery of the EHR that they’re going to believe in the services that we back it with TruBridge. So that’s a natural cross-sell into that. In my comments I also spoke to the enhancement of the Rycan products. I think there’s a huge opportunity for us to bolster that product as well and to create additional efficiencies and opportunities for the TruBridge services. So we’re excited about that. And when you look at the Thrive billing back in, where we’ve got a deep amount of saturation from the TruBridge standpoint. The Rycan again is an additional opportunity to invest deeper in TruBridge from the Thrive platform.
David Larsen: Okay. And then, can you just remind us what the price point is for Rycan, like I’m just trying to size the overall opportunity. And Rycan is more of a – it’s an RCM, SaaS type of solution that can be, I think used pretty much in any item. Is that correct?
David Dye: It is, it’s a best-of-breed clearing our product with eligibility and other services inside of it. And mostly it’s transactional, so it’s depending on the size of the facility. So it’s a scalable model.
David Larsen: Okay, I appreciate it. Thanks very much.
David Dye: Yes, thank you.
Operator: The next question comes from the line of Dave Francis with RBC Capital Markets. Please proceed.
Dave Francis: Hi, good afternoon guys. David or Matt, can you just talk a little bit more about the – any bigger transition in the revenue model relative to how customers are looking to buy products from you particularly on the traditional EHR sides. It sounds, if I heard right, that most of the new contracts are on more of a subscription or SaaS-based revenue model. Is your anticipation that a lot more of the bigger contracts are going to be going at the direction? And if so, how does that change the overall kind of demand dynamic for you guys as it open ups another sub-segment of the market, but may not it been there otherwise, or are there any other dynamics that are worth commenting on?
Matt Chambless: Yes, Dave it’s kind of interesting on that front. For the longest time, we were wondering when this whole cloud or SaaS movement was really going to hit in our space and stick. And we’ve – our results in 2015 as indicated to us so far that that trend wants here to stay. But as we stated in our prepared comments, those seven contracts that we have slated for installation in the first quarter of 2016, none of those are under a cloud, one of them is under a subscription model. So it will be lower monthly fee, so it won’t be that big bump in the one quarter. But the first quarter of 2016, so far looks like, it’s the hardball out there when compared to last four quarters or five quarters.
David Dye: And to that – to add to that Dave, I think maybe the answer to your question about being able to penetrate off those are markets a week. Maybe hadn’t been able to before or it was difficult at least because of their financial condition and as we talked about at least in the last couple of calls we are working with a new model where we go in combined with Thrive and TruBridge and discharge a percentage of net collections. And that includes the implementation of the EHR along with the TruBridge services platform. When we’ve see some hits there to the ten of about five hospitals over the last six to eight months. And there’s a lot in the pipeline that are very interested in that model.
Dave Francis: Okay. Guys, if I misheard at the front end of your prepared comments, I apologize. My quick follow-up could as you haven’t have a tremendous amount of time but I image some to get out of the combined entity and talk to some of the larger Healthland clients of a more significant or leadership healthcare or Healthland clients. Where do you guys see the opportunities and what do you think the mind set of those customers as relative to the combined entity and potentially the ability to cross sell additional technology or service of that stuff. Thanks.
David Dye: Now I think the most exciting thing that we’ve been able to talk to them about obviously is TruBridge, which we talked a great deal about it already, but then also you know that we’re going to be able to provide them with some tools namely data analytics and interoperability that they would have – with the book they’d be able to derive that much more quickly than they were going to get, otherwise it’s Healthland standalone and they understand that. And I think the other thing that’s been crucial for them to hear from the combined management team now is obviously there’s been a lot of misinformation that’s been spread by the competition. I mean we understand that everybody that’s on centric has spent hundreds of thousands of dollars or up to $1 million on that product with the last two to four years and they have no interest in buying a new product any time in the near future. And so our message has been to them that we did that and that we are going to continue to not just support but to invest heavily in the improvement of the centric platform for the next seven years.
Dave Francis: All right. Thank you.
David Dye: Thanks, Dave.
Operator: The next question comes from the line of George Hill with Deutsche Bank. Please proceed.
George Hill: Hey, good evening guys, and thanks for taking the questions. I guess I just kind of want to walk through the 2016 guidance real quick, again, I make sure I understand in broad strokes. So if I look at what you guys delivered this year it looks like you do $30-ish million in change and EBIT next year plus the $30 million from Healthland, I guess plus $10 million in synergies, plus the change in the cost structure and the balance is the NOL, am I thinking about in broad swaths because that puts the NOL that kind of like in the $15 million to $20 million range, I want to make sure, I’m thinking about it right.
Matt Chambless: No, the NOL is not in that range, I mean, those are the right buckets, but I mean, the NOL – the NOL impact that we’re expecting is going to be somewhere in the $5 million range, as far as the utilization. So…
George Hill: Okay.
Matt Chambless: So, somewhere you are a little bit out of whack in rest of the place.
George Hill: Okay. Well, then, I guess then the expectation and is that one of the – either between the presentation that you guys gave around the Healthland acquisition, I guess either Healthland is going to tremendously outperform what you guys told us at the time of the deal or CPSI core is likely going to outperform what – I guess, what it has done in recent history, which kind of brings me to my question on, it sounds like you have great visibility into Q1, I guess, can you talk a little bit about the visibility beyond Q1 and what gives you comfort in the rest of the year? And if you guys don’t hit the guidance, what will it be that went wrong?
David Dye: Well, while we do expect some improvement in CPSI, and that the organic improvement to CPSI just based on – from the cost – the cost containment measures that we’ve taken during 2015, and they improve revenue number. So that there will be some improvement there. On the adjusted EBITDA front, there will also be some transaction costs that will be added back. So our projections right now including around $4.5 million there which give or take that may move some, but if it moves a bit, there will be net – it will be neutral to EBITDA. And the stock-based comp at back of $5.4 million, so that also – all of that combined with the improvement in operating income, just for managing costs, and increasing revenues, is kind of how we got into improve CPSI numbers.
George Hill: Yes, I guess, can you tell me what is the CPSI EBITDA number for 2015, because I guess my math would be the $20 million NOP, actually the charges in Q3 plus the D&A that runs through the cash flow statement, plus the stock comp, which is going to get me to a number, in the very low 30%s. So I’m just, I’m trying to get the build up to that $90 million range, and I just, I’m trying to make sure I have the parts right, it seems distressed to get to?
Matt Chambless: I mean, if you’re trying to get to 2015, I mean I don’t have that number in front of me, but you can calculate that from the face of the financials that are in the press release.
George Hill: Okay. Okay, all right, I’ll put pen to paper. Thanks.
Matt Chambless: Thanks George.
Operator: The next question comes from the line of Steve Halper with FBR. Please proceed.
Steve Halper: Yes, hi, two housekeeping questions for 2016. What is the absolute level of D&A rate that you’re expecting as well as the level of CapEx.
David Dye: I don’t have those numbers in front of me right now, and I’ll be more than happy to follow-up afterwards.
Steve Halper: Right, so what we’re trying to do and just to follow-up on, just cutting it a little bit differently from George’s question is to sort of bridge the gap, right. So our models are built on the GAAP and now we’re guiding to non-GAAP, so we’re trying to figure out those adjustments. It’s easy to figure out what the CPSI depreciation and amortization is right, what was in 2015. But we have no clue, right, what the amortization related to the acquisition is going to be? That’s something that’s – there’s no way for us to estimate that?
David Dye: Yes. So depreciation on for the combined entity for 2016 is probably going to be somewhere between $4.5 million to $5 million. And then on the CapEx front probably looking at somewhere just north of $2 million.
Steve Halper: Combined?
David Dye: Combined, yes.
Steve Halper: Okay. So for the $4.5 million to $5 million is that depreciation and amortization or just depreciation?
David Dye: Sorry, that was just depreciation on the $4.5 million to $5 million. The amortization in granted, this number can move around depending on what happens with the purchase price allocation and how that all shakes out but right now we’re projecting that to land somewhere around $12 million.
Steve Halper: $12 million? Okay. So, again, we understand that the – that number could move around. But we’re looking at roughly $16 million, $17 million.
David Dye: Yes, maybe that’s the amount.
Steve Halper: Okay, good. That’s what we needed to know. Thank you.
Operator: The next question comes from the line of Matthew Gillmor with Robert Baird. Please proceed.
Matthew Gillmor: Hey, good afternoon and thanks for taking the question. Just wanted to understand the pay thing of the synergies and cost reduction that you outlined. So Boyd or Matt, can give us a sense of how that will progress in the course of the year? It sounds like you’re getting out a lot of this right at the beginning of the year when the deal close. But I just wanted to get a sense for how we should model the cost improvement as the year progresses?
Matt Chambless: Well, I have the exact numbers in front of me but for the most part the first quarter is going to be pretty low on the synergies but then second quarter and third quarter we’re going to start building up and then most of the synergies for 2016 should be captured by the end of the third year. And that being said, as we go into 2017, we’re going to have a much improved exit rate on costs. And there will be some additional synergies to grab in 2017, but as we’re a little bit too far out right now, but it’s sort of guide to.
Matthew Gillmor: And then one more follow-up on the adjusted EBITDA and EPS. I didn’t quite understand the treatment of the NOL between the two, it sounds like the tax – the tax benefit will be included in the EBITDA, but they are not to EPS, is that correct or I’m thinking about it incorrectly?
David Dye: No, you’re thinking about it right. And we’re trying to, we were betting it around about whether or not to include that in both places and we decided we just go one route, but just be transparent as possible about that. And when we look at adjust EBITDA, what we’re really trying to prove here is the cash generating ability of the company. So really kind of get into more of a cash gain, cash loss, hopefully not a cash loss position for the company in a given period. But in the adjusted EPS what we’re really trying to reflect there is, what did the company organically do during the period? So shipping out the kind of non-recurring impacted the deal there, and while we do expect to have multiple years, they’re going to benefit from the NOL utilization, simply because we’re capped in a given period due to the certain IRS regulations, and how much of that we can use in a given year. We don’t proceed at stretching out beyond the medium-term.
Matthew Gillmor: Okay, thanks very much.
David Dye: Thanks, Matthew.
Operator: [Operator Instructions] The next question comes from the line of Frank Sparacino with First Analysis. Please proceed.
Frank Sparacino: Hi guys. Maybe, just one question from me for Chris perhaps on the TruBridge side of things. So, if I look at the earlier commentary around revenue in 2016, it looks like the growth rate there is probably a little bit slower than what I expected in the mid-teens. I’m not sure if that’s the fair assessment, but if so, just curious on what would be the factors behind that?
Matt Chambless: I guess, it was 13%.
Chris Fowler: So, I thought we were, and Matt provided that right now, but I was thinking that we were in the 13%, 14% increase in the 2016 for TruBridge. So, we were at $63 million final for 2015, and $75 million for 2016.
Matt Chambless: 12%.
Chris Fowler: 12%?
Matt Chambless: Roughly 12%, 13% Frank. I think as someone pointed out earlier on the call, we struggled with the last couple of years of guidance, so obviously we’re trying to put a good number out there. And there’s a lot of potential with TruBridge. We did see the growth slowdown a little bit in the fourth quarter but at the same time we picked up some awful lot of prospects with this transaction. So we’re trying to balance all those factors. And that’s where we came up with the 12% to 13%.
Frank Sparacino: Okay. It’s helpful. And just maybe one follow-up there, could you just give a little bit more detail on the risk sharing arrangements. You talked about as it relates to AR and what’s happening there?
Matt Chambless: The model for that is we’re doing an analysis with the prospects as refining barriers into doing the full business office management. The cost constraints of the trend of – the traditional contingency model is sometimes a little much for the hospital. So what we’ve done is look at their current performance compared to their expenses to run their business office and fix the expense, fix the revenue over a quarterly period and the based on our performance put ourselves in a position for a bonus. So how we produce on a cash net basis determines what that risk model looks like.
Frank Sparacino: And I assume there were very few contracts today that operated in that manner, is that true?
Matt Chambless: Yes, less than five right now.
Frank Sparacino: Okay, thank you, guys.
Matt Chambless: Thanks, Frank.
Operator: Mr. Douglas, there are no further questions. I’ll turn the call back over to you for any closing remarks.
Boyd Douglas: Great, thank you, Ashton. I want thank to everyone for being on the call today. We appreciate your time and your interest in CPSI. And I hope everyone has great Friday and a great weekend. Thank you.
Operator: Ladies and gentlemen, that does conclude the call for today. We thank you for your participation and ask that you please disconnect your line.